Operator: Good day, and welcome to the AES Q3 Conference Call and Webcast. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please also note, this event is being recorded. I would now like to turn the conference call over to Mr. Ahmed Pasha, Vice President of Investor Relations. Mr. Pasha, the floor is yours, sir.
Ahmed Pasha: Thank you, Mike. Good morning, and welcome to AES’ third quarter 2017 financial review call. Our press release, presentation and related financial information are available on our website at aes.com. Today, we will be making forward-looking statements during the call. There are many factors that may cause future results to differ materially from these statements. Please refer to our SEC filings for a discussion of these factors. Joining me this morning are Andrés Gluski, our President and Chief Executive Officer; Tom O’Flynn, our Chief Financial Officer; and other senior members of our management team. With that, I will now turn the call over to Andrés.
Andrés Gluski: Well, good morning, and thank you for joining our third quarter 2017 financial review call. Today, Tom and I will discuss our results for the quarter and year-to-date as well as our progress on our strategic and financial goals. We are reaffirming our prior guidance for 2017 and our expectations through 2020. During the third quarter, we made significant progress on our construction projects and the integration of our renewable acquisitions. This morning, I will provide some color on the returns we expect to realize from these investments. I will also discuss our plans to accelerate and expand our asset sales program and cost-cutting and revenue-enhancement initiatives. Before turning to these areas, I’ll first discuss the impact of the recent hurricanes on our businesses in the Caribbean. Our sympathies are with the people of Puerto Rico, many of whom are still without power and water. Our number one priority before, during and after the recent hurricane was the safety of our people and their families and impacted communities. Fortunately, our people and their families are safe, and our two plants in Puerto Rico sustained only minor damage. Both plants are currently available to meet their obligations under their PPAs. We expect the local transmission system to be energized and ready to take our much-needed power by the end of November. Tom will discuss the effects of the hurricanes in our financial results for the third quarter in more detail. Today, we’re announcing that we will be significantly upsizing our asset sales program. We now expect to realize $2 billion in proceeds during the 2018 to 2020 period. Approximately $1 billion of this is expected to occur by year-end 2018, including the sale of Masinloc, our coal plant in the Philippines. Interest remains very strong, and we expect to sign this sales agreement before year end and receive the proceeds early next year. We’re also announcing that we are aggressively pursuing significant additional cost savings. These G&A and O&M savings are likely to be earnings neutral in 2018 due to onetime restructuring costs, but accretive to 2019 and beyond. We will provide more detail on our fourth quarter call. Turning to Slide 4 and our construction program, which is the key driver of our growth. Milestones were being met across our 5 gigawatts of projects under construction, including Alto Maipo in Chile. Although the Alto Maipo project has experienced construction delays and cost overruns, it is making progress towards overcoming these challenges. First, the smaller of the two main contractors, CNM, was terminated. The Tunnel Boring Machine they had been operating is now being operated by Robbins, its manufacturer. They’re progressing at a multiple of the historical rates achieved by CNM, and the Alto Maipo project is now 58% complete. Second, Alto Maipo is in negotiations with various contractors for a fixed price, lump sum EPC contract. The new EPC contract would include substantial capital and performance commitments from the contractor, incentivizing timely completion. The restructuring would also require additional concessions from the project lenders and meaningful contributions from AES Gener, which would be tied to construction milestones. The objective is to significantly reduce execution risks and preserve the value of Alto Maipo while, at the same time, remaining disciplined with additional equity from AES Gener. We will provide you with updates as Alto Maipo continues to make progress on these negotiations. Turning now to the rest of our construction program, beginning on Slide 5. Our 671-megawatt Eagle Valley CCGT in Indiana is on track to achieve commercial operations in the first half of 2018. Construction is 99% complete, and the project is now in the commissioning phase. In fact, this past weekend, the project achieved a major milestone with the first fire of the turbine. The unit was synchronized to the grid and produced its first electricity. Now turning to our 1.3 gigawatt Southland CCGT project on Slide 6, which is a repowering of our existing gas generation facilities in Southern California. Construction is ongoing, and the project is on track to be operational by the first half of 2020. Our remaining construction projects are proceeding as planned, including our thermal plant, OPGC 2 in India; and our CCGT and LNG regasification terminal, Colón, in Panama. These projects will be key contributors to our earnings and cash flow growth through 2020. Turning to Slide 7. We have been reshaping our portfolio to reduce our carbon intensity and deliver attractive returns to our shareholders. To that end, our growth initiatives beyond the projects under construction have been focused on investments in natural gas and renewable projects with long-term U.S. dollar-denominated contracts in our existing markets. On a portfolio basis, these investments are expected to produce average returns in the low teens. These compelling returns are driven by several factors, including investing in markets with lower renewable penetration and faster growth rates than the U.S.; using local debt capacity in the businesses to fund the investments; and using our business platforms and global scale to lower costs. Our project returns also benefit from bringing in partners to reduce our equity commitments while providing management and development fees. I’ll walk through some specific examples of how we have boosted returns on some of our recent investments, beginning on Slide 8. In July, we closed on our acquisition of sPower with the Alberta pension fund, AIMCo. We are encouraged by the quality of sPower’s people, operating assets and development pipeline. In fact, we are well positioned to capitalize on sPower’s 10-gigawatt-plus development pipeline by closing on at least 500 megawatts of solar projects annually in the U.S. Additionally, we have received a number of inbound indications of interest to partner on a portion of sPower’s operating assets. We’re evaluating these proposals, which would increase our overall returns and allow us to redeploy the capital into sPower’s attractive growth pipeline. Turning to Slide 9. In Brazil, during the quarter, Tietê moved forward on three growth transactions. Tietê closed the acquisition of the 386-megawatt Alto Sertão wind plant, finalized the acquisition of the 75-megawatt Boa Hora solar project and signed an agreement to acquire the 150-megawatt Bauru solar complex. The wind plant is currently operating with an 18-year contract, and all solar projects are expected to be operational in 2018 with 20-year regulated contracts. The BRL1.6 billion of capital needed to fund these 611 megawatts of renewable expansions in Brazil has been secured by tapping into the available debt capacity at Tietê without any equity. Returns on these long-term contracted assets are in the mid-teens in U.S. dollar terms. Finally, turning to Slide 10. In Mexico, we’re also seeing attractive returns for our development projects. With our partner, Grupo Bal, one of the largest business groups in Mexico, we have developed a strong 2.5-gigawatt pipeline of renewable and natural gas projects. We are targeting long-term bilateral contracts with creditworthy, large industrial off-takers. For example, we recently signed an agreement to acquire the 306 Mesa La Paz wind development project, which has a 25-year U.S. dollar-denominated PPA. The project site also has sufficient additional land to accommodate up to 200 megawatts of solar, which could be an attractive upside in the future. We expect to reach financial close early next year and begin construction of Mesa La Paz shortly thereafter. In summary, as you can see on Slide 11, we will be adding 8.4 gigawatts of new capacity by 2020. This includes almost 7 gigawatts of projects under construction or recently acquired. The remaining 1.5 gigawatts represent projects in advanced-stage development. As a result of these additions, our average remaining contract term will increase from 6 years currently to 10 years by 2020. We have sufficient internally generated cash to fund our equity contributions for both our projects under construction and the development projects I just discussed. The projects we have under construction and the more recent investments we have made are helping us to significantly reshape our portfolio to achieve our financial objectives. At the same time, we're reducing our carbon intensity and deploying tomorrow's technologies. As you can see on Slide 12, by the end of 2020, our coal generation will decline from 41% to 33%, while renewables and cash generation will increase from 55% to 63%. We've also been driving the adoption of energy storage in our markets as shown on Slide 13. We are a global leader in the industry with presence in seven markets, including 228 megawatts in operation and another 250 megawatts under contract or construction. In the Dominican Republic, we recently completed 20 megawatts of new energy storage. In September, these facilities performed flawlessly, working twice as much as normal to ensure the electric grid stayed online during Hurricanes Irma and Maria. We believe the integration of energy storage and renewables is key to accelerating a cleaner energy future. This is one of the most promising opportunities in our industry, and our businesses are leading the way. For example, in Hawaii, we're helping the island of Kauai reduce their reliance on diesel generators by delivering a 28-megawatt solar farm and a 20-megawatt, five-hour duration energy storage. Integrating energy storage to enhance the output of solar and wind facilities is a key focus area for Fluence, our new energy storage joint venture with Siemens. The Fluence JV received anti-trust approval from the European Commission in October and is expected to close by the end of this year. Once closed, we expect Fluence to deliver energy storage solution and services to a broader group of customers, from commercial and industrial companies to utilities and power developers in 160 countries. Together with Siemens, our goal is for Fluence to be the market leader in this high-growth segment that is expected to grow tenfold in five years, reaching at least 28 gigawatts of installed capacity by 2022. With that, I'll turn the call over to Tom to discuss our third quarter results, capital allocation and guidance in more detail.
Tom O'Flynn: Thanks, Andrés. Good morning. Today, I'll review our third quarter results, capital allocation and guidance. Overall, our results were lower than the prior year for the quarter largely due to a higher intra-year tax rate and the impact of recent hurricanes. However, based on our year-to-date performance and outlook, we remain on track to deliver on our 2017 guidance and expectations through 2020. Before moving on, I want to provide a brief update on the hurricanes on Slide 16. As we disclosed in October, the estimated impact from hurricanes in 2017 is $0.03 to $0.05 a share. We recognized $0.02 in the third quarter, mostly related to reserves taken at our corporate captive insurance business for estimated property damage in our solar plants in Puerto Rico and the U.S. Virgin Islands. To a lesser degree, it also reflects a loss of operations at our thermal plant in Puerto Rico, which was down for 11 days in September. Our business in the Dominican Republic was not affected. Since mid-October, the Puerto Rico plant has been available to meet its obligations under its Power Purchase Agreement. The plant can resume delivering much-needed energy to the grid as soon as the local transmission lines are repaired. On that front, we're pleased with the resources and attention federal and local officials are allocating to restore the power grid, which is a top priority. Repair work is underway, and we're seeing real progress. Momentum should continue to build as EEI in various U.S. utilities have begun to assist in PREPA's restoration efforts. We expect the majority of the grid to be operational by the end of the year. When the plant is reconnected to the grid, we expect it to be dispatched since it's the lowest cost producer of energy, highly reliable and its location is critical to maintaining grid stability. Now turning to adjusted EPS on Slide 17. Third quarter results were $0.24, an $0.08 decrease from 2016. For the year-to-date, adjusted EPS was $0.66, $0.02 higher than 2016. The quarterly results reflect a $0.05 impact due to a higher quarterly tax rate of 35% versus 23% the prior year. We expect a lower rate in the fourth quarter, bringing our average annual rate in its expected 31% to 33% range. Third quarter also reflects the $0.02 hurricane impact and lower margin at Andes, offset by positive results in the remaining SBUs. Now to Slide 18 and our adjusted PTC and consolidated free cash flow. We earned $245 million in adjusted PTC in the quarter, a decrease of $27 million, due in part by the impact of the hurricanes. We generated $601 million of consolidated free cash flow, a decrease of $64 million from third quarter 2016, as higher working capital requirements in Brazil, U.S. and MCAC offset higher consolidated margins. Now I'll cover our SBUs in more detail in the next six slides, beginning on 19. The U.S. margins were down slightly, largely due to moderate weather at IPL. Adjusted PTC increased primarily due to equity earnings from sPower, following the acquisition in July. Lower consolidated free cash flow also reflects higher working capital requirements at DPL and IPL. In Andes, our results reflect lower margins primarily due to planned major maintenance and the impact of green taxes at AES Gener in Chile. This decline was partially offset by positive contributions from Cochrane Unit 2, which achieved commercial operations in October 2016. Adjusted PTC was also impacted by modest write-offs in Argentina and Chile. In Brazil, margins increased due to lower fixed costs, higher tariffs and the recovery of prior tax payments at our distribution business, Eletropaulo. The increase in consolidated free cash flow reflects higher margins, partially offset by higher working capital requirements in Eletropaulo due to recovery of high purchase power costs in 2016 from prior droughts. Before continuing with the quarterly results, I'll provide an update on our efforts to simplify Eletropaulo's ownership structure. As you may know, we own only 17% of this business. However, we are the controlling shareholder and, therefore, consolidate the full financials. We've now received all third-party approvals to migrate to Novo Mercado on the Brazilian stock exchange. As a result, we will no longer have a controlling interest and expect to deconsolidate the business in the fourth quarter. This will simplify our financial statements and also provide greater flexibility. In Mexico, Central America and the Caribbean, our results reflect higher margins driven primarily by higher availability and higher contracted sales in the Dominican Republic, following the completion of the DPP project this year. Hurricanes were not a major driver for the quarter in MCAC as most of the $0.02 impact I mentioned earlier was incurred in our captive insurance business at corp. Consolidated free cash flow is flat as higher margins were offset by the timing impact of lower collections in the Dominican Republic. That said, outstanding receivables were settled in full in October. Finally, in Eurasia, our results were largely driven by higher energy and capacity margins at Ballylumford in the UK. Now on Slide 24 and the resolution of our filing at DP&L in Ohio. As you may know, on October 20, the Public Utilities Commission of Ohio ruled at our ESP case. The order was consistent with the March Stipulation agreement with only minor modifications. As expected, the ESP includes a Distribution Modernization Rider totaling $105 million per year over three years with a two-year extension option. As previously announced, DPL is selling or exiting all of its 2.1 gigawatts of coal-fired capacity by mid-2018. DPL is also running sales process for the remaining one gigawatt of gas-fired peaking capacity and expects to announce the transaction by year end, with closing expected in the first half of 2018. The commission's ruling in the exit of merchant generation are important steps that will enable DPL to transition to an investment-grade growing T&D business. In fact, you see significant potential to increase the regulated asset base through distribution infrastructure, smart grid and other grid modernization investments. We're pleased to see that these actions are being appreciated by the rating agencies, including a 2-notch upgrade of the DPL family to BB from Fitch earlier this week. Now to Slide 25 and our improving credit profile. This year, we’ve prepaid $300 million of parent debt and refinanced another $1 billion with long-term debt at attractive rates, resulting in annualized interest savings of $40 million. Excluding drawings on our revolver, this brings our total parent debt to $4.5 billion. This represents a $2.1 billion or about a one-third reduction in parent debt since 2011. Through disciplined debt reduction and strong growth in parent free cash flow, we expect to attain investment-grade credit metrics by 2020. We believe this will help us to not only reduce our cost of debt and improve financial flexibility but also enhance our equity valuation. Now to our 2017 parent capital allocation on Slide 26. Sources on the left-hand side reflect $1.4 billion of total available discretionary cash, including parent free cash flow. We expect to be comfortably in the middle of our range of $575 million to $675 million. In addition to the $300 million we received from the sale of Sul in Brazil, we have closed another $80 million of sales, including $60 million from the sell-down of our business in the Dominican Republic. In September, one of our existing partners acquired an additional 5% of the business, implying a total equity value of $1.25 billion. Total asset sale proceeds for the year are about $400 million left than we had shown previously due to a timing difference as we expect to receive those proceeds in early 2018. We plan to use our revolver to fund the temporary shortfall and repay the drawings in early 2018. Moving to uses on the right-hand side. Including the dividend increase we announced last December, we’ll be returning almost $320 million to shareholders this year. We used $340 million to prepay and refinance parent debt, as I just discussed. Finally, we used $382 million for our acquisition of sPower and plan to invest $350 million in our subsidiaries, the majority of which is for new projects under construction and a late-stage development. Now looking at our capital allocation from 2018 through 2020 on Slide 27. We expect our portfolio to generate $3.3 billion of discretionary cash, which includes parent free cash flow and asset sale proceeds. We have conservatively included half of our $2 billion asset sale target, reflecting the transactions we expect to close in 2018. In terms of uses, after funding our dividend and construction projects, we have $1.6 billion of capital to create additional shareholder value. Of this, we’d expect to allocate about 40% to 45% to dividend growth and debt reduction and the remaining amount to invest in attractive growth opportunities. Finally, turning to Slide 28. We are reaffirming our prior 2017 guidance and expectation for an 8% to 10% average annual growth through 2020 for all metrics. As you know, we pointed to the lower half of our guidance range for adjusted EPS in October, following the hurricanes. We still expect a higher rate of EPS growth in 2018 in the low to mid-teens, off the midpoint of our 2017 guidance. This will be largely driven by contributions from new projects, cost-savings and revenue-enhancement initiatives in lower parent interest. To give a little bit more color by SBU, we expect growth in the U.S. to be driven largely by positive regulatory developments at DPL as well as growth in renewables. Andes will benefit from continued market reforms in Argentina, higher contracting levels at Angamos and higher generation in Colombia. Growth in MCAC is expected to be driven largely by completed construction projects, including a full year of operations to the DPP combined cycle in the Dominican Republic as well as a partial-year impact from the commencement of operations at the Colón CCGT in Panama. Growth will be partially offset by business exits in the Philippines and Kazakhstan. Finally, we expect a benefit from our cost savings and revenue-enhancement initiatives as well as lower parent interest. Consistent with our prior practice, we’ll be providing more detail and specific guidance for 2018 on our year-end call in February. With that, I’ll now turn it back to Andrés.
Andrés Gluski: Thanks, Tom. In summary, we’re taking a lot of actions at AES to deliver on our strategy and commitments to shareholders. Our sector is undergoing significant change, and we’re undertaking a further transformation of our business to take advantage of new opportunities. Specifically, we’re accelerating and increasing our asset sales program to achieve $1 billion in proceeds by end 2018 and a total of $2 billion by 2020. We’re on track to achieve our target $400 million in annual cost savings and revenue enhancements, and we’re aggressively pursuing additional savings that we will announce on our fourth quarter call. We’re advancing on our 5 gigawatts of construction projects and are aiming to resolve the issues at Alto Maipo in the first quarter of 2018. We are pleased with our acquisition of sPower and see many attractive renewable opportunities across our portfolio. We expect Fluence to close this year, and our goal is to maintain our global leadership in a market that is projected to grow tenfold over the next five years. These actions will result in a simpler portfolio, earning higher risk-adjusted returns and a stronger balance sheet with improved credit metrics. Our overriding objective is to generate 8% to 10% average annual growth in earnings and free cash flow. When combined with our dividend, we expect to deliver a total shareholder return of at least 12% annually. Now we’ll be happy to take your questions.
Operator: Thank you, sir. We will now begin the question-and-answer session. [Operator Instructions] The first question we have comes from Ali Agha of SunTrust. Please go ahead.
Ali Agha: Thank you. Good morning.
Andrés Gluski: Hi, Ali.
Ali Agha: Good morning. First question, with regards to the 2018 guidance, earlier in the year, Tom and Andrés, when you had talked about 2018, you had told us, net-net, it’s about $0.20 higher than 2017. [Indiscernible] somewhere $1.25 range. But now you’re telling us low to mid-teens, which implies a lower implied number for 2018. So what has changed for 2018?
Tom O’Flynn: Yes. Good morning, Ali. It’s Tom. I mean, yes, if you cut through the dis from the percentage increase, it’s part of our $0.05. I mean, first I’d say that we’re still in the final stages of our budget process, and we’ll come up with firm numbers in Feb. We just want to give people a general ballpark. There’s nothing major. I’d say, there’s – perhaps, there’s a couple of cents in the U.S. DPLs may be a little softer from the regulatory outcome and some plant closure numbers. And the rest is kind of a $0.01 here and a $0.01 there. But we’re still grinding through it.
Ali Agha: Okay. So I mean, could you get back to that $0.20 delta? Or do you think that’s a bit unrealistic here?
Tom O’Flynn: I mean, I think that’s certainly – we certainly always look for things to do more of. Andrés talked about really doing a very heavy look at costs across the company that we’re in the process of. So we certainly look for that. But that said, I think we want to give people a general expectation of where things were trending to. And so we’d probably be closer to $0.05 below. So it’s still a fair amount above 2017.
Ali Agha: Right, right. Second question, with regards to the asset sales, I just wanted to be clear. So previously, we had thought there would be a $500 million sale this year, which, I think you’ve confirmed, will be Masinloc. But now what you’re telling us is that probably still gets announced by year end, but you get the proceeds next year. Did I hear that right?
Tom O’Flynn: Yes. And just to be clear, earlier on in the year, we put a placeholder in for $500 million. There were different things that we were considering. It’s not clear that we can do $1 billion, that Masinloc will be – can do $1 billion and close that $1 billion by the end of 2018 and that the Masinloc process is quite deep in the process. We got very heavy interest. So yes, specifically with Masinloc, we expect to announce Q4 in the next, what, six weeks, and we expect to close it in the first half of 2018. But that $500 million was done before we had thought about a specific candidate. We think that Masinloc will be well in excess of that.
Ali Agha: Yes. And broadly speaking, when you look at the $2 billion number, I mean, is the motivation to essentially exit non-core markets, can you give some sense of [indiscernible]
Andrés Gluski: Yes, Ali, well, when we started, we were in 28 countries. When we exit the Philippines, we’ll be in 15. We’ve always said that somewhere between 12 to 15 countries is kind of our probably we thought that where we would end up. So I think it’s looking more like a dozen. And of course, we never announce anything before the sale is actually done. So some of it will be exiting some countries, and some of it will be selling down from certain assets. And in some cases, may be selling down a portion of the assets. For example, as we did recently in the Dominican Republic, to realize value. I think the important thing is that where we want to end up and what does that portfolio look like. And as we said, it will be simpler. It will be in less countries. It will be less carbon-intensive. And we will be, if you will, sort of turning capital into growth areas where we get higher returns and then sitting on some existing assets.
Ali Agha: Okay. Last question, Andrés, if I could. I’m sure you’ve been keeping an eye on what’s been happening in the IPP merchant power space. Companies have basically concluded that the public markets are not giving them credit for their portfolios. Many are going private. They’ve been sold. Major restructurings happening. Are there any lessons learned for AES given how your stock gets valued in the public markets today?
Andrés Gluski: Well, I will say – well, I think the lessons – I mean, we moved to get out of merchant generation, I think, on a timely basis. I think we’ve exited a number of markets that since I’ve been troubled on a timely basis, and I think we’ve generally sold our assets at very good prices. So we didn’t do really any sort of fire sales. We waited in some cases until the contracts ran out. Now if you look at our strategy, we’re moving into much more contract, and we’re lengthening our average contract versus what we have even today. So I think we have a quite different strategy from most. I think we’re changing our risk profile. We’ve significantly derisked. I’m sure you’ll notice that on this call, we did not talk about the weather in Brazil. That used to be the main focus of these calls, quite frankly. And we have been able to derisk from the way we’ve contracted. I think, as Tom mentioned, when we deconsolidate Eletropaulo, it will make a better correlation between really our economic, our financial profile and our consolidated profile. And lastly, we’re moving aggressively to become investment-grade. So I think on all these fronts, I think our strategy has been considerably different from other firms, which have remained less contracted and also, quite frankly, which aren’t moving into the newer technologies. So I think we have the advantage of being in more rapidly growth markets and being well-positioned. Having said that, ever since I’ve been CEO and Tom’s been CFO, I mean, we have looked at all alternatives, and we periodically have third parties come in and look and say is there any way we can sustainably add value to the company? So we’re always open to these any ideas, but we’re only going to do things which makes sense for the company in terms of a sustainable company. So we’re open to all alternatives. I’ve seen the – some of these. And obviously, in the sector, there’s been a lot of consolidation to take out costs, but we’ve taken a lot of costs. And we’re also, as we’ve said on this call, going to be aggressively looking at our cost structure. This is partly the result, I’d say, of the actions we’ve taken, the systems we’ve put in place and also the simplification of our portfolio.
Ali Agha: Thank you, Andrés.
Operator: The next question we have will come from Julien Dumoulin-Smith of Bank of America Merrill Lynch.
Julien Dumoulin-Smith: Hey, good morning.
Andrés Gluski: Good morning, Julien.
Julien Dumoulin-Smith: So maybe let me follow up a little bit on the asset sale strategic positioning here. Can you talk about how you think about the – let’s not talk about the IPP peers but the YieldCos and just the overall market subsector there. How do you think about yourself relative to that sector? And how do you think about desirability that you recycle capital in that direction, i.e., I hear you guys talk about more asset sales. I hear you expanding your renewable platform as it stands today. Can you provide any further thoughts just putting all these pieces together?
Andrés Gluski: Yes. That’s a great question. When you remember, when YieldCo’s first started, it was a lot of, I’d say, questions we were getting from various people like, why don’t you do a YieldCo? And one of our concerns was not to have a – to be sort of committed to growth in case markets turned. And I think, in general, that has been the, right now, the right decision. Now if you look at what we’re doing today, we did mention, for example, that on sPower, we are looking at selling down a portion of the operating assets to enhance our returns and be able to move that money into new projects, the 10-gigawatt-plus pipeline where we think we can improve our average return. So in that sense, we, I think, have shown that we can access private money. We’ve raised about $3.8 billion over the last six years of partner equity, including – from the large Canadian pension funds. So in that sense, I think that our view is that we are very interested in coming up with ownership structures, which are win-wins, where we provide for people looking for long-term, stable, investment-grade assets. And at the same time, it allows us to reduce our participation and improve our returns be it through management fees or promote – or development fees. So that is part of the market. Now I think where we’re somewhat different is that we see the advantage of having a platform in these countries. So for example, having a strong partner in Mexico opens a lot of opportunities for us in renewables. Having a strong position in various markets opens that up. So we want to use our scale and in cases, integrate the new renewables with our existing assets because, obviously, energy prices from renewables, in many cases, are lower. But if you can integrate that with the capacity from existing assets, you can have some very interesting propositions for your customers. In the longer term, we think batteries can supply that in many markets. But right now, we see that opportunity. So to answer your question, we have approached the problem from a sort of customer-centric position. We’re taking advantage of our platforms, and we’re bringing in capital and selling down when we see the opportunity that, that would improve our returns.
Julien Dumoulin-Smith: Excellent. Now just in thinking through committing to any kind of structure, would you be open to investing in a third-party structure to establish an independent acquisition vehicle? And if so, to – how would you think about establishing that just given the discrepancies in multiples and the perceived accretion or dilution involved just at the outset?
Andrés Gluski: Well, I think, again, if you think of something like sPower, we have a partnership with them. sPower, as we’ve said in the past regarding acquisitions, we would look opportunistically at that. If we think that there are acquisitions where we have significant synergies, it’s 2 plus 2 equals 6, add to that portfolio. On the other hand, we’re not looking right now at sort of big acquisitions, et cetera. We’re sort of looking at asset acquisitions that could enhance that portfolio. And as I said, if there are interested parties in taking a portion of that from the sPower JV, that’s fine as well.
Julien Dumoulin-Smith: Got it. All right. Excellent. I’ll leave that there. Can I move a little bit further down to the Gener level? Just curious, in light of the developments on the Alto Maipo side, how are you viewing cash distributions back to the parent right now? Obviously, things are somewhat fluid there vis-à-vis finalizing up the EPC, et cetera. I suppose plan – you’re moving ahead with plan, and you don’t necessarily anticipate any limitations in terms of distributions given any credit concerns that, that’s up.
Andrés Gluski: I think this is a – the negotiations in Alto Maipo are proceeding. The Alto Maipo team and Gener team are doing a great job. I would say that Gener will remain an investment-grade company, that any equity contributions from Gener to the Alto Maipo project would maintain that investment grade, will be very – looking at the sort of marginal returns of that investment. And we don't expect it to significantly affect any dividend distributions from Gener into the future. So those are the things. Now we've also said that should we decide not to proceed with the project, that would also, in terms of the cash distributions from Gener, those would continue, although they might take a different form in terms of like return of capital. So we're looking at both. We will be very disciplined. On the other hand, we think that there is a win-win solution here, which would be good for all parties, including, obviously, Chile and Chile electric system from completing the project.
Julien Dumoulin-Smith: Got it. And is there anything, just lastly, coming back to what Ali was talking about, reason why you're not including the full $2 billion in your pie chart there around use of cash? I imagine maybe it's just too early to anticipate what exactly and what form it takes or you tell me how specific you are in your asset sales at this point.
Tom O'Flynn: Yes, Julien, it's Tom. I'd say that traditionally, we put things up here when they're either announced or close to being announced. So I think we feel very comfortable that we've got a good line of sight on $1 billion. Execution is underway. Good comfort with being able to sign near-term close, certainly next year, if not in the first half of the year. So as we continue to think through more businesses, assets, et cetera, that make a win to that, then we would expand that piece accordingly.
Julien Dumoulin-Smith: And just a quick...
Andrés Gluski: I mean, you know that when we first announced that we'd be doing asset sales, I believe we used a number of around $1 billion. I think we're at $4 billion now. We announced Cal's, as we've said, $100 million. We're at $200-million-plus now. So generally, we just want to be, as Tom was saying, have a real clear line of sight. Now obviously, we have a number of opportunities that would make sense from a strategic plan that I outlined that we think can easily get us to that $2 billion number by 2020.
Julien Dumoulin-Smith: And just to be clear, in setting an expectation here, would you expect any of this to be EPS dilutive or accretive to the extent to which you kind of know which assets you're thinking about here against the plan?
Tom O'Flynn: Yes. I think it's a mixture. Certainly, some could be accretive, some that could be dilutive. I think if you look at the overall group, there is some modest dilution. I think we factored that into our overall growth rate. I think some of the incremental cost efficiencies we plan to put in place may give us the offsets to be able to transition the portfolio and also meet our numbers.
Andrés Gluski: Yes. And what I'd say is we are – our overriding objective is to meet that 8% to 10% growth rate we've committed. So there will be puts and takes, like Tom said, but it won't affect us reaching our objectives.
Julien Dumoulin-Smith: Got it. And you guys didn't raise your cost target for the long term here, right? Obviously, there's some shifts, but.
Andrés Gluski: No, not specifically. We just – it's something we're evaluating, and we'll talk more about it on our year-end call in Feb.
Julien Dumoulin-Smith: Thank you for taking some of the questions. Appreciate it. Have a good day.
Operator: Next, we have Greg Gordon of Evercore ISI.
Greg Gordon: Hi, guys good morning.
Andrés Gluski: Good morning.
Greg Gordon: So just want to make sure I heard you correctly in the response to Julian that the – you see the incremental cost cutting announcement as supplementing your ability to hit the 8% to 10%. You don't think you'll be in a position to move that range as a function of that, and that's partly because of the friction that might happen when you reposition the portfolio through these assets sales and redeploy that capital. Is that a fair summary?
Andrés Gluski: What I'd say as a summary, the additional cost cuts that we're working on and will announce in the fourth quarter will give us additional comfort of hitting that range. So this is – it's additional to what the cost cuts we've announced in the past. On the other hand, we're not changing that guidance range. It will give us additional comfort. Because as we – as Tom said, there's puts and takes, so we want to make sure that we hit our numbers.
Greg Gordon: Well, what are some of the takes that happened since you last gave the guidance that are – where these cost cuts are going to fill in there?
Tom O'Flynn: Yes. No. Greg, my comment on puts and takes is more on EPS impact from certain sales. Some are accretive, some are dilutive.
Greg Gordon: Got you. And I just wanted to make sure that was clear. The second question I have is, and I feel like it's déjà vu all over again with this, the stock is obviously down a lot. It's performing okay today. But if consensus expectations for your earnings are right, the return on buying back your stock is in excess of the return – average expected return on the investments you're making. There's no placeholder in your capital plan, whatsoever, for buybacks. Just I really am a little bit agitated by that, and I want to understand your thinking.
Andrés Gluski: Well, we have done a considerable amount of buyback over the years, and we do have an outstanding approval. So we're not saying that we're – won't do buybacks. We're just not announcing any specific buybacks at this point in time. So obviously, we are not happy at all with where our stock is trading, and we always consider that. But I think that at this point, we're undergoing a transition program, and I think it will be very important that we deliver on our numbers. But certainly, we're not saying that we won't do stock buybacks.
Greg Gordon: Can you remind us what the outstanding authorization is for the buyback?
Andrés Gluski: Currently, we have $250 million still remaining on our prior authorization.
Greg Gordon: Okay. Look, Andrés, I look at the reinvestment you're making in the business and how you're repositioning it, and I think it's very attractive. So I'm not arguing that what you're doing to reposition the company is not well thought out and obviously you have a plethora of opportunities. The issues that the return on a buyback at these prices is like a mid- to high-teens ROE. And the return on the investments you're making, even though they're very attractive, is not as attractive as the stock. So I think you really need to consider being more aggressive with the market and show them that you have confidence you can hit your targets by buying back the stock when it's attractive.
Andrés Gluski: Point taken, Greg. As I said, we've – today, we're returning through the dividend about 55% of our parent free cash flow. So I think we remain committed to giving money back to our shareholders, and we have done, I believe it's about $1.5 billion of stock buybacks, at least over the past five years. So I certainly don't want to say that this is off the table, and point taken.
Greg Gordon: Okay. Thank you.
Operator: [Operator Instructions)] Next, we have Lasan Johong of Auvila Research.
Lasan Johong: Hi Andrés, Thanks for taking my question. I just want to make a quick comment. I am very much opposed to share buybacks. It does not create value. It's a waste of money. You're shoving money out of your left pocket and putting in your right pocket. And other than signaling purposes, it's a waste of capital. Moving on, please. I'm assuming, since you're selling the Philippine, you're not doing Masinloc 2?
Andrés Gluski: Masinloc 2 is under construction. The construction is going well, and that would be part of...
Lasan Johong: No, I understand that. But are you going to finish that construction? Or is that part of the sale of Masinloc?
Andrés Gluski : Well, we would finish the construction under our contract for the new seller.
Tom O'Flynn: So we'd expect the – it's Tom. Just to clarify, we'd expect the sale to close before the construction is complete. And it's – the construction is going very well. It's pretty clean. It's got an EPC, so it's not a material issue.
Lasan Johong: No, I understand that. But when you say you're selling Masinloc, are you're selling Masinloc 1 only? Or Masinloc 1 and the construction project?
Tom O'Flynn: No, 1 and 2. We're selling the business. We see this one...
Lasan Johong: Okay. Great. The – a couple of years ago, Argentina instituted an accounts receivable financing of new generation, and people were kind of skeptical. Can you give us a view as to whether it's working out or not working out in Argentina with that accounts receivable financing?
Andrés Gluski: Sure. I’d say, first to say that Argentina has really made a comeback. I think, starting from the top level as the – politically, as you know, they had a recently elections for Congress, and Macri’s party got 40% of the vote, much more than people had expected. So the reforms are going forward in Argentina. In our sector, they’ve made very important reforms: one is dollarizing; second is increasing moderately, prices – retail prices but also generation. And they will move towards a liberated market. People forget, but in the 1990s, Argentina had one of the best regulations on the planet in terms of liberated markets. So Argentina is doing much, much better. Our business is doing much, much better. We had two years where we did not receive dividends from Argentina, even though the business has always made money. So it’s obviously, we perceive much more dividends and making much more money. Getting to your point about this was the FONINVEMEM, one of the more difficult acronyms we have to pronounce. They have been paying the interest on the FONINVEMEM. These are actualized. Part of the bonds are tied to the completion of actual generation assets. In this case, it was the Guillermo Brown as being the largest one. So that plant is up and running. So that whole – and what I would put it was basically part that the CAMMESA would take part of your payments and essentially give you these bonds and use the funds to build a new asset. But they have paid interest. The plants have been completed, so that – that’s going well.
Lasan Johong: Okay, great. I’m a little confused about Fluence. The existing energy storage facility, is that part of – going to be – going forward, is it going to be part of Fluence? Or is that separate, and then Fluence will be a new stock with new projects?
Tom O'Flynn: Yes. What I’d say is, look, we have about 228 megawatts of energy storage facilities on our platform. Those are not being sold. Those remain with AES because they’re our assets. Fluence is a joint venture to develop and to sell our Advancion 4 product, and Advancion 5 that will be coming out, and Siemens’ Siestorage product. So we both contributed a product to this. With the net result is that we’re the only, let’s say – Fluence is the only firm which can offer the full gamut from commercial and industrial small units to the largest utility scale, 100-plus megawatt energy storage. So we’ve combined those two. So we’re moving R&D together. Fluence will be doing that. We will be taking advantage of Siemens’ platform, and we’ll be taking advantage of Siemens’ sales force. Siemens is active in 160 countries. It’s been selling electric equipment for more than 100 years, so it has a great brand name. So we think bringing these together is very, very powerful. And we really don’t see anybody else like it in the market, at least today. So the point is this will be a separate company, a JV. It’s 50-50. Siemens and us. We’re both contributing people to that project. It will use Siemens’ sales force. When we put energy storage on, say, our solar projects, that sPower, we’re a client. So it’s separating the two. So we expect this to grow very quickly. As we say – have said in the past, we don’t expect any cash or earnings contributions for, say, two more years during this rapid growth phase and thereafter. But we think it should be a very valuable company within a time period of five years. We’ve done things like this before, just to remind people, in the case of Brazil, we had rights of way. We developed a broadband supplier. This is a company we sold for $1 billion to Telecom Italia a couple of years ago So we think this could grow very rapidly. But again, it’s separate from us. We will continue to do energy storage. For example, on Southland, we have a contract with Southern California Edison for 100-megawatt facility. That will be ours under potentially a contract with Southern California Edison. That’s not part of Fluence. It will buy the equipment from Fluence.
Lasan Johong: Got it. One last question. AES stock lag, if you leave the DOE report for August, they’re pretty much suggesting that in a high renewables area, base-load plants are either going to be obsolete or they’re going to have to get paid for things that are not currently being compensated for, such as Brazilian characteristics and reliability characteristics. Does that worry you that AES Southland is being built as a CCGT, not as a SCGT facility?
Andrés Gluski: No, because of the contract we have. I mean, I think that when you speak about it, it would – what I think is interesting is that with energy storage, we’re seeing that regulations. And they have a lot of – they do a lot of things, which aren’t translated in the current regulation. All over the world, what we’re doing is, let’s say, testing and actually, certifying some of our coal plants to run at lower MINs [ph] to give them greater flexibility to be ready for that future. But I don’t know, Tom, do you want to add anything?
Tom O'Flynn: Yes. No, Andrés said, I’d just add that our California plant, the one that’s under construction in Southland, has got very good flexibility. That’s what the SoCal Ed was focused on. So it’s got quick ramp capacity and low MINs, and it’s also in a very critical location in the transmission infrastructure. Just, what is it, 30 miles south of L.A. So those are all things that I think we’re taking into account in our proposal and SoCal Ed’s request for bid now two years, two and a half years ago. Just in terms of the overall DOE proposal, given that we’re essentially getting out or will be out of the merchant generation business mid-next year, we don’t see it as a major impact. I suppose we’re closing a couple of coal plants down to the extent that another party looks and says that’s an opportunity for them to step in, we’re certainly open to those kinds of ideas.
Lasan Johong: Great. Thank you very much.
Operator: Well, at this time, we’re showing no further questions. We’ll go ahead and conclude our question-and-answer session. I will turn the conference back over to Mr. Ahmed Pasha for the closing remarks. Sir?
Ahmed Pasha: We thank everybody for joining us on today’s call. We look forward to seeing many of you next week at the EEI Conference. As always, the IR team will be available to answer any questions you may have. Thank you, and have a nice day.
Operator: And we thank you sir and to the rest of the management team for your time also today. Again, the conference call has concluded. At this time, you may disconnect your lines. Thank you, again, everyone. Take care, and have a great day.